Operator: Good afternoon, and welcome to the Ross Stores Fourth Quarter and Fiscal 2024 Earnings Release Conference Call. The call will begin with prepared comments by management followed by a question-and-answer session. [Operator Instructions]. Before we get started, on behalf of Ross Stores, I would like to note that the comments made on this call will contain forward-looking statements regarding expectations about future growth and financial results, including sales and earnings forecasts, new store openings and other matters that are based on the company's current forecast of aspects of its future business. These forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from historical performance or current expectations. Risk factors are included in today's press release and the company's fiscal 2023 Form 10-K and fiscal 2024 Form 10-Qs and 8-Ks on file with the SEC. And now I'd like to turn the call over to Connie Kao, Group Vice President of Investor Relations.
Connie Kao: Thank you, John, and thank you, everyone for joining our fourth quarter earnings call today. I have the great pleasure of introducing Jim Conroy, our newly appointed Chief Executive Officer, who joined us in December. Jim?
Jim Conroy: Thank you, Connie, and good afternoon. Also joining me on our call today are Michael Hartshorn, Group President and Chief Operating Officer; and Adam Orvos, Executive Vice President and Chief Financial Officer. I'd like to begin my remarks by expressing my appreciation to my predecessor, Barbara Rentler. Our two-month overlap was an invaluable transition period for me as I was able to immerse myself in the company. while Barbara led the day-to-day operations of the business. I am grateful she will continue to serve as a Strategic Adviser, and I look forward to building on the foundation that she has created and the company's long history of success. Now let's turn to the fourth quarter results. As noted in today's press release, fourth quarter sales and earnings results were at the high end of our expectations. Sales were driven by our customers' positive responses to the improved assortments of quality branded bargains, coupled with strong execution by the store and supply chain teams during the critical holiday selling season. Earnings per share for the 13-weeks ended February 1, 2025, were $1.79 compared with $1.82 per share for the 14-weeks ended February 3, 2024. Net income for the period was $587 million versus $610 million last year. Sales for the fourth quarter of 2024 were $5.9 billion with a comparable store sales gain of 3% on top of a robust 7% gain in the same period last year. For the 2024 fiscal year, earnings per share were $6.32, up from $5.56 for the 53-weeks ended February 3, 2024. Net income for fiscal 2024 rose to $2.1 billion compared to $1.9 billion last year. Total sales for the year increased to $21.1 billion, up from $20.4 billion in the prior year period. Comparable store sales for the 52-weeks ended February 1, 2025, grew 3% versus a 5% gain in fiscal 2023. Both the fourth quarter and full year results included a onetime benefit to earnings equivalent to approximately $0.14 per share related to the sale of a packaway facility. Additionally, as a reminder, prior year sales and earnings results for the 2023 fourth quarter and fiscal year included approximately $308 million in sales and a $0.20 earnings per share benefit from the 53rd-week. Fourth quarter operating margin of 12.4% was flat to last year as the gain from the sale of the packaway facility was offset by planned declines in merchandise margin and unfavorable timing of packaway-related costs. The sale of the facility contributed about 105 basis points to this year's fourth quarter operating margin, while the 53rd week benefited the prior year's period by about 80 basis points. Let's turn now to additional details on our fourth quarter results. For the holiday selling season, cosmetics and children's were the best-performing merchandise areas while geographically, the Pacific Northwest and Texas were the strongest regions. Similar to the prior quarter, DD's discounts posted healthy sales gains as the chain's value and fashion offerings resonated with shoppers. We are especially encouraged by the ongoing improved performance of DVs in our newer markets and expect to begin rebuilding our pipeline there for expanded growth in the near future. At the end of the year, consolidated inventories were up 12%, mainly due to higher planned packaway levels. On an average store basis, inventories were up 2%. Packaway represented 41% of total inventories compared to 40% last year. Regarding our store expansion program. We added 75 new Ross Dress for Less stores and 14 dd’s DISCOUNTS during the year. Inclusive of 12 closures, we ended the year with 2,186 stores including 1,831 Ross Dress for Less and 355 dd's DISCOUNTS locations. As noted in today's release, during the recently completed fourth quarter, 1.7 million shares were repurchased for a total price of $262 million. For fiscal 2024, a total of 7.3 million shares of common stock were repurchased for an aggregate purchase price of $1.05 billion. These purchases were made pursuant to the two-year $2.1 billion program announced in March 2024. We expect to complete the $1.05 billion remaining under this authorization in fiscal 2025. Our Board also recently approved a 10% increase in our quarterly cash dividend to $0.405 per share to be payable on March 31, 2025, to stockholders of record as of March 18, 2025. We ended the year with $4.7 billion of cash after funding the growth and capital needs of our business. As a result, our ongoing share buyback and increased dividend programs reflect our long-standing commitment to return excess cash to our shareholders. Now Adam will provide further details on our fourth quarter results and additional color on our outlook for fiscal 2025.
Adam Orvos: Thank you, Jim. As previously mentioned, comparable store sales rose 3% for the quarter, generated by both higher traffic and average size of the basket. Fourth quarter operating margin of 12.4% and was flat to last year and included a 105 basis point benefit from the facility sale. Cost of goods sold deleveraged by 80 basis points in the quarter. Merchandise margin declined by 85 basis points as planned due to the increased mix of quality branded assortments. Occupancy deleveraged by 45 basis points, as we anniversaried the extra week last year. Distribution costs were flat as unfavorable timing of packaway-related costs offset improved productivity. Domestic freight leveraged by 30 basis points, while buying improved by 20 basis points, mainly due to lower incentives. SG&A for the period leveraged by 80 basis points, primarily due to the facility sale. Now let's discuss our outlook for fiscal 2025, starting with the first quarter. While we were pleased with our 2024 results, including the holiday selling period, sales trends began softening later in January and into February. We believe that a combination of unseasonable weather and heightened volatility in the macroeconomic and geopolitical environment has negatively impacted customer traffic. Given the lack of visibility we have on these external factors, we believe it is prudent to take a cautious approach in forecasting our business, especially as we start the year. As a result, we expect comparable store sales for the 13 weeks ending May 3, 2025, to be down 3% to flat and earnings per share of $1.33 to $1.47 versus $1.46 last year. The operating statement assumptions that support our first quarter guidance include the following: Total sales are planned to be down 1% to up 3% versus last year's first quarter. This same-store sales perform in-line with our plan, operating margin for the first quarter is expected to be in the range of 11.4% to 12.1% compared to 12.2% last year. The expected decrease mainly reflects our forecast for sales deleverage and unfavorable timing of packaway-related costs. Merchandise margin is also expected to be down slightly in the first quarter. We plan to add 19 new stores consisting of 16 Ross and 3 dd's DISCOUNTS during the period. Net interest income is estimated to be $35 million. Our tax rate is expected to be approximately 24% to 25% and weighted average diluted shares outstanding are forecast to be about $328 million. Turning to our full year guidance assumptions for 2025. For the 52 weeks ending January 31, 2026, and while we hope to do better, we are planning same-store sales to be down 1% to up 2%. Based on these assumptions, fiscal 2025 earnings per share are projected to be $5.95 to $6.55 compared to $6.32 for fiscal 2024. As previously mentioned, last year's results included a per share benefit of $0.14 from the facility sale. Total sales are planned to be up 1% to up 5% for the year. If same-store sales perform in-line with our plan, operating margin for the full year is expected to be in the range of 11.5% to 12.2% compared to 12.2% in 2024, which benefited by 30 basis points from the facility sale. Excluding this one-time gain, our operating margin forecast reflects sales deleverage and higher distribution costs, as well as lower incentive compensation expenses as we anniversary higher incentive costs in 2024. In addition, we expect merchandise margin to be relatively neutral for fiscal 2025. For 2025, we expect to open approximately 90 new locations comprised of about 80 Ross and 10 DDs. These openings do not include our plans to close or relocate about 10 to 15 older stores. Net interest income is estimated to be $127 million. Depreciation and amortization expense inclusive of stock-based amortization are forecasted to be about $690 million for the year. The tax rate is projected to be about 24% to 25% and weighted average diluted shares outstanding are expected to be around $325 million. In addition, capital expenditures for 2025 are planned to be approximately $855 million as we make further investments in our stores, supply chain and merchant processes to support our long-term growth and to increase efficiencies throughout the business. Now I'll turn the call back to Jim for closing comments.
Jim Conroy: Thank you, Adam. As Adam mentioned, we have seen softer business as we transitioned out of the fourth quarter and into the first quarter. While there are always opportunities for us to improve our execution, we believe the softness we are currently seeing is primarily due to macro pressures, impacting consumer confidence, resulting in a pullback in discretionary spending. That said, we believe that some of the recent challenges we are seeing could be transitory in nature. Additionally, we anticipate that the volatile external environment will result in more opportunities for closeout merchandise and could set us up well to deliver even greater values on branded goods in future quarters. Turning to the broader business. As I reflect on my observations over the past few months, I believe that the brand and merchandising strategies that we have in place for both Ross and dd's are the right ones, and I do not foresee making significant changes to those strategies in the near future. In addition, we have a flexible business model that positions us well to navigate through the current uncertainty, and we will continue to focus on the strong execution of our key initiatives In closing, I would like to thank the more than 100,000 associates throughout the company for their hard work and dedication and for delivering such solid fourth quarter and annual results in 2024. At this point, we would like to open the call and respond to any questions that you may have.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] And the first question comes from the line of Matthew Boss with JPMorgan. Please proceed with your question.
Matthew Boss : Great. Thanks. And welcome back, Jim.
Jim Conroy: Thank you.
Matthew Boss : So Jim, maybe could you elaborate on your top strategic priorities. Any areas that you believe may require any level of structural change relative to opportunities you see to amplify market share in the near to intermediate term? And just on that near-term, Jim, and I know how much you like to get into the details. Could you speak to trends maybe that you've seen in parts of the country with less weather impact or initiatives in place to drive comp improvement as the year progresses?
Jim Conroy : Sure. On the first piece, I've inherited a brand strategy for Ross and a sort of analogous customer strategy for dd's and while I've only had about three months to sort of evaluate it, they've all been extremely sound and very much worth continuing to pursue. So my focus early on really is to learn the off-price model, get immersed in the business. And as I think about ongoing changes, they will be more sort of evolutionary in nature and nothing sort of abrupt or a hard left turn or a hard right turn. That said, when I evaluate the company, I think from a merchandising standpoint, it is second to none world-class merchandising team the stores organization is extremely efficient and operationally very sound. We probably have some opportunity to enhance our store environment and shopping experience. And then from a marketing standpoint, I'd say it's probably the least developed muscle and least invested in part of the business. So probably some opportunity to put the brand on a pedestal a bit more and to amplify our messaging in the marketplace to some degree. But I would expect sort of continuing on of the overarching strategies for the two brands. In terms of the more color commentary across the country in different parts of the business, for the quarter, we had just really nice broad-based strength, both geographically and across merchandise categories. Some categories were standout winners, called out childrens and cosmetics. But virtually all businesses in nearly all geographies were also pretty strong. And I think that probably covers both of your questions, Matt, did I miss anything?
Matthew Boss : Just maybe on the quarter-to-date, anything in areas of the country where the weather has been more conducive and just to give maybe some confidence on what you're seeing that's more transitory relative to potentially anything that's changed?
Jim Conroy : Yes. Certainly, the weather-impacted areas saw more of a decline in business. That said, we did see an inflection point down as we got into February, that seemed to get sequentially better throughout the month. Part of that, we believe is consumer confidence. Part of that, we believe, is weather induced, both of which we think will be sort of a transitory shock to the system that created a bit of a pause for the consumer, and we have seen them already start to re-engage. So as you can imagine, we embedded in our guidance is the business that's behind us and what we expect to see for the balance of the quarter.
Matthew Boss: Great color. Best of luck. Welcome back.
Jim Conroy: Thank you.
Operator: And the next question comes from the line of Paul Lejuez with Citigroup. Please proceed with your question.
Paul Lejuez : Hi, thanks Jim, welcome. Can you talk a little bit about the go deeper into state performance or regional performance in 4Q and in which regions or states drove the slowdown that you saw thus far in February? And also curious if there's any evidence that new immigration policies might be hurting sales in some way?
Michael Hartshorn : It's Michael. In the quarter, as we said in the commentary, the Pacific Northwest and Texas were the top performing regions for other larger markets California and Florida were relatively in-line with the chain. Your second question, I assume was on immigration policy. What I'd say is we serve a very broad segment of the population. From an ethnic perspective, as you know, we over-indexed to the Hispanic customer versus the general population. We'll have to wait and see how the macroeconomic environment. And as you say, the immigration policy impacts this important customer for us longer-term. As Jim said, we believe the initial stock value of the recent policy actions could dissipate over time, while we continue to provide great values and support the communities we serve.
Paul Lejuez : And then just one follow-up. As you think about the comp guidance for F '25, how are you thinking about traffic versus transactions? And maybe just, again back to the slowdown, is that a transaction or average ticket sort of slowdown?
Michael Hartshorn : We don't plan the business on traffic or transactions. What's happened over the past couple of years is the comp has been driven by both. What we've seen recently is more traffic related, which points to some of the external volatility that everyone is seeing.
Paul Lejuez : Thank you good luck.
Jim Conroy: Thanks Paul.
Operator: And the next question comes from the line of Mark Altschwager with Baird. Please proceed with your question.
Mark Altschwager: Good afternoon. Thanks for taking my question. Just first, with respect to the guide, I believe you said merchandise margins are expected to be relatively neutral for the year. What's the takeaway there just with respect to the merchandising strategy and striking the right balance of value in the assortment? Is that still an area of investment and headwind offset by other factors? And then separately, just any comments on changes you're seeing in the buying environment post-holiday? Wondering if this consumer choppiness to start the year is yielding some better buying opportunities. Thank you.
Adam Orvos : Mark, on the first piece, this is Adam. On merchandise margin, I think we voiced throughout 2024, that was kind of our investment year, right, where we kind of wanted to change the penetration of our branded goods. And we feel like we accomplished that by year-end. I think 2025 is going to be about learning, listening to what the customer is telling us and we'll certainly react accordingly. But that's why we feel like merchandise margin this year, we're kind of giving that neutral guide, and that's what's embedded for the year.
Michael Hartshorn : In just the first quarter, we did build some impact of the tariffs that we know thus far, which are the goods in transit when the initial tariffs were announced. Beyond that, we haven't included any impact, but merchant margin is relatively neutral for the year in our guidance.
Jim Conroy : This is Jim. On the second part of your question, relative to, are we starting to see more closeout opportunities. Absolutely, as we've seen some softness across mainstream retailers, some more store closures and just sort of a disrupted supply chain. We're being very opportunistic in picking up these opportunities for closeout product. And we think that bodes-well for adding some more excitement to the stores going forward and for buying margin accretive goods going forward. In this sort of off-price industry that we're in, we tend to benefit from sort of a dislocation of the overarching retail market.
Mark Altschwager: That’s great. Thank you.
Operator: And the next question comes from the line of Lorraine Hutchinson with Bank of America. Please proceed with your question.
Lorraine Hutchinson: Hi, thanks. Good afternoon. Jim, when I hear words like enhancing the store environment and developing the marketing muscle, I see dollar signs. Do you foresee a step-up in investment in the store fleet and marketing expense? Or do you think that you can accomplish this under the confines of the existing margin structure?
Jim Conroy: At first, I thought your dollar signs were enhanced comp sales dollars -- more about the expense side. Yes, of course, we need to be sort of prudent and responsible with that. And I think we can either do it from a cost neutral standpoint or we would need to be able to prove sort of an ROI on any additional spending. So it's very early days to kind of get ahead of myself as to what we'll be doing differently. But I could -- I would expect that we'll find some dollars to invest in both of those areas over time. And soon, the company has been investing in upgrading the fleet over the last few years as well. I think we'll be continuing that going forward and perhaps trying to scrape some dollars together to enhance our marketing program a bit.
Lorraine Hutchinson : Thank you.
Operator: And the next question comes from the line of Michael Binetti with Evercore ISI. Please proceed.
Michael Binetti: Hi guys. Jim, nice to meet you. Welcome to Ross. And congrats on moving on to next adventure. Could you -- I guess as we look at kind of take out your first quarter guidance, it looks like second quarter through fourth quarter same-store sales allows for comps to be flatter, maybe just a touch negative in the back 9% of the year. Could you just help us say about what you're baking in at the low end versus the high end, which is, I think, closer to 2.5% or 3% on as you think through the scenarios for the back half of the year? And then, Adam, any -- are there any -- as we think about the merchandise margin being neutral for the year, does that include an opportunity for you to be leveraging the better brand strategy by the second half of the year? Or is that -- do you think the second half of the year is still in listen-and-learn mode.
Michael Hartshorn : Michael, on the comp trends for the year, obviously, we guided -- we would typically come out with 2% to 3% comp. Obviously, we lowered the guidance based on what we saw very earlier in the year and widen the guidance. So the variance between the first quarter and the rest of the year, we have comps fairly neutral through Q2, Q3 and Q4 to get to the down 1 to plus 2.
Adam Orvos : Yes, Michael, this is Adam. On the second piece on the merch margin, right? There's a lot of moving parts. We thought entering the branded strategy that over time, we'd be buying better, right, as we become more important to those brands, and we cultivate new, but expanded relationships. So that's a piece of it. Obviously doing a lot of work on tariffs. We've talked about that and then shrinks another variable. We are kind of guiding that flattish this year external environment still feel like is very tough, but felt like the actions that we continue to take, but also stepped up at the end of last year. We think we'll make that a prudent guide for the year. So those are kind of the puts and takes of how we think about merchandise margin in the balance of the year.
Michael Binetti: Did I miss it, did you give shrink for fourth quarter and into 2024?
Michael Hartshorn : On shrink, we actually take our physical inventory in the third quarter, and we trued it up then. Yes, it didn't change our forecast. We ended relatively flat to 2023.
Michael Binetti: Great. Thanks guys.
Operator: And the next question comes from the line of Brooke Roach with Goldman Sachs. Please proceed with your question.
Brooke Roach: Good afternoon and thank you for taking our question. I was hoping you could dig into the performance of dd's DISCOUNTS. It sounds like you're seeing some good results there, such that you are willing to rebuild the pipeline of store growth in the future. Is dd seeing the same slowdown that the rest of Ross stores is seeing? And how would you describe demographic changes as we've entered 1Q to date? What drives your confidence in DD on a go-forward basis?
Michael Hartshorn : Sure. Brooke, dd's posted healthy sales gains that were above Ross, not only for Q4, but throughout 2024. And we feel really good about the fashion and value offerings that we've been able to upgrade at DD. It is resonating very well with the customers. We're especially encouraged -- if you recall, we slowed down or stopped our real estate program in newer markets. And we are encouraged by the ongoing improved performance, which has been ongoing for a little over a year now. And we are going to start rebuilding that pipeline for expanded growth in the near future, although it does take some time to get the pipeline started again. And I suspect you'll see increased growth into '26. Though performing well, dd saw a similar change in trend as Ross in January, February time frame.
Brooke Roach: Great. Thank so much. Best of luck, going forward.
Michael Hartshorn: Thank you.
Operator: And the next question comes from the line of Chuck Grom with Gordon Haskett. Please proceed with your question.
Chuck Grom: Hi good morning – good afternoon. Thanks. Still pretty early in earnings here, but one takeaway is that inventory levels appear much heavier say a target today. I guess how are you thinking about that from a potential headwind on the promotional front if we see more aggressive promotions later in the quarter? And then on category performance in the quarter, can you just double-click on apparel and footwear in addition to cosmetics and beauty, it sounds like generally, things were good, but can you just double-click on that? Thanks.
Michael Hartshorn : On inventory levels, we actually feel good about the levels that we are currently at. We ended the year with average store inventory is up about 2%. We had planned our packaway higher versus last year because we -- last year at this time, we used the packaway merchandise to fuel a robust 7% gain in the fourth quarter. So the increase at the end of the year was planned against last year.
Jim Conroy : And in terms of merchandise classifications, Overall, non-apparel businesses did better than apparel and footwear. We talked about the strength in children the footwear business was comp eroding for us for the fourth quarter.
Operator: And the next question comes from the line of Alex Straton with Morgan Stanley. Please proceed with your question.
Alexandra Straton: Perfect. Thanks so much. Can you just go through what guidance assumes as it relates to freight. It just seems like that might be a source of pressure for all off-pricers this year? And then separately, the supply chain and merchant processes focus, you highlighted within the CapEx guide. Can you just elaborate on what you are doing there exactly? Or if there are any changes relative to 2024? Thanks so much.
Michael Hartshorn : On freight, we typically -- our freight contracts are May, June time frame. So during the first part of the year, we are still operating under the current contracts. That said, we currently expect domestic freight to be a headwind in Q1 and the full year. Obviously, that's based on fuel and what happens with fuel over the year. And right now, it's favorable versus last year, but that could change. On the ocean freight, that market has changed pretty dramatically in the last six months. There was a lot of buildup in congestion. Spot rates were very high. That has since come down. So we'll wait and see how our contract renewal happens in May.
Adam Orvos : And Alex, I think the second part of your question was on CapEx. What we guided to was $855 million for 2025. Most of that step-up from 2024 is in supply chain. So we will open our eighth facility this year, but the costs are really driven by our ninth facility, which will open up 2 to 3 years from now, but do most of that construction in 2025.
Alexandra Straton: And then on that piece of the merchant processes, what exactly are you guys changing there or, I guess, investing in there?
Michael Hartshorn : Most of the investments that are happening in the merchant organization is around really two things: the upfront process we are putting in new tools for the merchants that will make it much easier from purchase order to completion of buy, and we are also investing in enterprise-wide data that will allow the entire organization, but most specifically the merchants to have a better view of the business at any point in time.
Alexandra Straton : Great. Thank so much.
Jim Conroy : Thank you.
Operator: And the next question comes from the line of Adrienne Yih with Barclays. Please proceed with your question.
Adrienne Yih: Thank you very much. I'm going to go back to -- I think you mentioned doing work on the tariffs. Can you remind us what your so direct sourcing exposures, I know it is pretty de minimis from China, Canada and Mexico. And then how are you handling or how did you handle in the last tariff cycle, kind of negotiating power. It would seem that you can certainly push back more so than other business models. And then my follow-up question is on the branded product, given that the merch margins are flat, are we anniversary-ing the penetration of branded? And are you seeing ATV higher driven by the new branded product? Thank you.
Michael Hartshorn : On the tariff -- we don't disclose the actual percentage of the direct tariff, but it is a small portion of our business. Obviously, we're continuing to monitor the day-to-day changes in the tariff policy. Mexico and Canada are very small portion very de minimis part of our overall business. Clearly, our focus will be maintaining the price umbrella versus traditional retailer and offer the best values to the customer. We certainly wouldn't be on the forefront of raising prices. For us, disruptions like this, as Jim mentioned, could be beneficial to off-price and as there'll be more closeout opportunities down the road.
Adam Orvos : And I think, Adrienne, on the branded question in terms of mix of assortment, we feel like -- we are at that inflection point, and now will anniversary last year on that. Your question about AUR also, again, as Michael said, we don't plan the business that way going forward. But looking back in fourth quarter, we did have a slight increase in AUR just how the business mixed out with some of those better branded goods as part of the assortment.
Adrienne Yih: Great. Thank you so much. Best of luck.
Operator: Thank you. And the next question comes from the line of Aneesha Sherman with Bernstein. Please proceed with your question.
Aneesha Sherman: Thank you so much. Jim, I want to ask your view about the store opening strategy, as you talked about earlier in the call, some of your competitors are talking about moving into more rural areas, moving into different size boxes, smaller urban boxes, do you see opportunities for different store formats for your Ross and DD’s? And for the stores that have opened in newer states like Michigan, like New York the last couple of years, can you comment on the performance of those -- and I also have a quick follow-up on Adrienne question on the branded strategy. Are you seeing an inflection in comp related to that strategy as part of what you had planned? Are you seeing an actual uptick in comp on some of these categories in divisions where you've upped the brandedness in the category? Thank you.
Michael Hartshorn : Aneesha, I'll walk through the real estate strategy. We have -- we believe we have plenty of growth with the existing concept. DD's 18,000 to 20,000 square foot stores. Ross is 23,000 to 25,000 square foot footprint. We see the real estate landscape. We have a healthy pipeline while there's high volume -- not a high volume of new development, we continue to see store closures from bankruptcies or downsizing of existing store fleets that we've been able to take advantage of. As you mentioned, about 30% of our openings are in newer markets. I think it's too early to talk about New York and Michigan. We're pleased with the results thus far. -- overall, though, over the portfolio, our new store productivity has not changed. It was 60% to 65% of an average store last year, and we expect it to be about that level in 2025.
Jim Conroy : And on the second piece of your question on the branded strategy. We feel good about the branded strategy, right? We just delivered -- I'd say we -- I just showed up, but the company just delivered four consecutive quarters of positive comps driven by both traffic and basket size. The branded strategy, while perhaps it's a little bit more important in certain categories, was really a store-wide strategy. So to see the whole company perform well and have that performance be across merchandise categories and again, traffic and ticket. In terms of specific categories. We have seen some nice sequential improvement in the – [ladies] (ph) business from the third quarter into the fourth quarter. And the fourth quarter is really the first time we had hit the percentage of our business targets that we wanted to hit from a branding standpoint. So overall, I think it's a solid strategy. I think we are executing pretty well. Certainly, we have opportunities to improve it and tweak it going forward. And the team is working on that now. But I think it's starting to pay some nice dividends.
Operator: [Operator Instructions] The next question comes from the line of Ike Boruchow with Wells Fargo. Please proceed with your question.
Irwin Boruchow: Hi, good afternoon. Nice to meet you, Jim. I think, Michael, I have a clarification and then a question for you. The clarification is, I think you said in one of your answers, fuel is favorable to last year, but a headwind to 1Q and fiscal year margin. Did you mean tailwind? Or am I not -- did not follow that correctly?
Michael Hartshorn : It should have been tailwind.
Irwin Boruchow: Tailwind. Okay. Great. And then, Michael, I'll be the fourth person to try to get this question into you. But I guess when you look at the business, the slowdown that you're seeing quarter-to-date, clearly dynamic environment. But how much of the slowdown would you weather-related versus potentially something in the customer demographic? Or just more directly, have you seen any notable softness in the Hispanic consumer [quarterday] (ph). I know you have to wait to see more and get more information, but I know you guys probably have data and looked at the store base on ZIP code. So I just know that we get asked that question a lot. I'm curious if you have anything to share.
Michael Hartshorn : Ike, you know from history, we don’t love talking about inter-quarter trends. I will say, though, at this time of year, it is extremely difficult to parse out specific impacts of weather versus tax refunds. Tax refunds this year have caught up. But early on, they were delayed by half a week over week. So and then also trying to parse out external factors. So we did see, as Jim said, as weather improved. We did see an improvement in the trend. So we’ll have to wait to see all the way through the first quarter to understand the real impact of each of those.
Operator: And the next question comes from the line of Marni Shapiro with The Retail Tracker. Please procced with question.
Marni Shapiro: Hi guys. Congrats on the great quarter and I thought for a minute between our Jim U.S. CEO and our new CFO, we almost didn't have any mics on a Ross Stores conference call. In my decades of following you guys, there's always been a mic. No, you can't leave. I think isn't it in the board somewhere the Board packet there has to be a mic involved. So can you just touch a little bit back onto the advertising question because Ross has never been a big advertising company. Is it a shift to invest more there? Or how advertise, would you consider loyalty programs? Are you thinking about social media. You have a somewhat decent following at least on Instagram. Just kind of curious what your thoughts are around the marketing.
Jim Conroy : Sure. I think it's a little early to give some real specifics there. We probably have the ability to invest some more money there. And we probably – an ability to sort of perfect our messaging a little I guess what I'd ask is just some patients, as I get my arms around the team, we onboard a new ad agency, et cetera, we'll be able to share a little bit more about our plans as we go forward throughout the year.
Marni Shapiro: Fair enough. And can you guys quantify at all any impact from the fires in L.A. to your business? And have you seen it rebound since then?
A – Michael Hartshorn : Overall, obviously, we saw an impact when it happened and it impacted our consumers, our associates is very devastating, but minimal impact to the quarter, and we have seen it rebound since.
Operator: And the next question comes from the line of John Kernan with TD Cowen. Please proceed with your question.
John Kernan: Hi, good afternoon. Thanks for taking my question. Welcome, Jim. I think just -- you've been asked this question on a lot of calls, but I guess looking back at the margin structure of the business pre-COVID, whatever time period you want to look at, to now the biggest difference is the SG&A rate has risen. Where do you see opportunities to potentially leverage SG&A going forward? Obviously, there's a certain level of comps that would generate that, but are there specific expenses and line items within SG&A that you see under your control that you could bring down as a percent of sales over time?
Michael Hartshorn : The change -- I'll be the historic here. The change between pre-covid and post-COVID in SG&A is primarily store-related costs driven by minimum wage increases. We're continuously looking for opportunities to be more efficient in the store without impacting the customer experience, but going forward, the leverage point for SG&A is about a 3% comp every year.
John Kernan: Got it. Thank you.
Operator: And the next question comes from the line of Dana Telsey with the Telsey Advisory Group. Please procced with your question.
Dana Telsey: Hi good afternoon everyone. Welcome, Jim. Jim, as you think about your time and accomplishments at Boot Barn what -- from those accomplishments there in that chain, what do you bring to Ross stores that you think can be impactful to the business model given it is a different merchandising and buying strategy? And then just a quick follow-up.
Jim Conroy : Sure. No, there's a lot of differences. Certainly, the off-price buying model is completely different than what I'm used to. There are some similarities, right? Our core customer is roughly the same income, roughly the same age, roughly the same ethnic diversity, Boot Barn fuel a little bit more male, and Ross, of course, skews a little bit more female. I guess my goal is, if I look at the transformation of Boot Barn over a 12-year period, we slowly made progress on different things like store environment and marketing and perhaps there are some similarities here. But I think it's also important to recognize sort of as the CEO, my #1, #2 and #3 priorities are to sort of pull the team together and establish a go-forward strategy and have all sort of rowing in the same direction. And I feel very fortunate that I've gotten brought into the business. I feel great about the reception from the management team. I think we're already a very cohesive management team. I feel great about the talent that surrounds me. I have 2 very strong chief merchants, one over Ross and one of our DD. We have the ongoing support of Barbara from a merchandising standpoint. And so if I were to try to draw a parallel to what I hope to bring here that perhaps helped Boot Barn be successful is just to kind of get the entire team pointing in the same direction and working collaboratively and to build on the success that Barbara has left behind for me.
Dana Telsey: And then just on the topic of tariffs. From the last time there were tariffs. Can you just remind us how -- what did the business do to react to those tariffs? What changed in terms of pricing -- and does this time -- how is it different or the same? Thank you.
A – Michael Hartshorn : I think overall, it will be the same. How did we react? We negotiated costs. We mix the business where we needed to differently. And in some cases, we did raise prices. And I think it will be a mix of all of those, but will be partly dependent especially on the price front, what the market – how the market responds.
A – Jim Conroy : Yes. As you’d imagine, we’re meeting on this, if not daily, extremely frequently with an ever-changing landscape, Fortunately for the team if not their first rodeo, right? They’ve seen this before. And we – I think we have some good strategies in place to sort of mitigate any potential downside, but also to maximize the opportunities that might come our way based on the disruption to the supply chain.
Operator: And the next question comes from the line of Jay Sole with UBS. Please proceed with your question.
Jay Sole: Great. Thank you. I know this has been asked in a similar way before. But if you could just let us know if you need any improvement in the comp trend to get to the negative 3% comp guidance the loan to the guide for Q1 and then secondly, just on the fact that there's a 300 basis point difference between the low-end and the high-end of the comp range. What's the reason for the wider range than normal? Is it -- is there less visibility now? If you could just sort of provide more color on that, that would be helpful. Thank you.
Michael Hartshorn : Sure. On the wider comp range, it is absolutely driven by visibility entering the year. What we said on the comp trend is we have seen an improvement and we've built since early February. And since weather has improved, and we've built that into the first quarter guidance.
Jay Sole: So are you saying that you built continued improvement into the guidance is what you're saying?
Michael Hartshorn : Correct.
Jay Sole: Got it. Okay, thank you so much.
Operator: And the next question comes from the line of Krisztina Katai with Deutsche Bank. Please procced with your question.
Krisztina Katai: Hi, good afternoon, and welcome Jim. So as you think about the improvement in some of your businesses like ladies apparel, you noted a nice improvement into the fourth quarter from 3Q, just can you touch on what are the areas within that are driving that? I think you spoke to the branded strategy being one of them. Do you think that can continue in 2025? And just how would you rate the performance relative to where you'd like it to be?
Jim Conroy : I would say the team has made some really nice progress. We've achieved the sort of levels of brands that we were hoping to achieve from a target standpoint, I think the content of the assortment was good through the holiday period and it kind of played out in the comp line. In terms of more specificity under that, of course, if you go through the different classifications, you will see a different trend line between missy sportswear and active and juniors, et cetera. So there's always places for us to make some ongoing improvements. And I think the team is on top of them. I've been sitting through the assortment planning meetings as we look forward for the spring and fall season and I really like the strategies they have in place and the direction they're taking in the assortment.
Krisztina Katai: Great. Thank you so much.
Operator: And our final question comes from the line of Laura Champine with Loop Capital Markets. Please procced with question.
Laura Champine: Thanks for taking my question. It's a follow-up to all the discussion about your full year comp guide, which you've explained is wider than normal, lower than normal given the trend. As s you look to improve the comp trend in coming quarters, can you get there just from improved weather? Or do you need market share to accelerate or the macro to improve.
Michael Hartshorn : Well, the improved weather will obviously help. But the macro backdrop, there's a lot dependent on that. We're not sure if what we're seeing now is shock value of all the volatility in the market or in fact, the underlying trend will improve. The good news in off-price is we can operate well in a number of environments as other others around us struggle in a tough macroeconomic environment. That means more closeouts for us, which means our ability to get them and pass that on to the consumer with better values to go back in history, even in tough macroeconomic times, you have to go back to the 2008, 2009 levels, we've been able to navigate in the off-price environment fairly well.
Laura Champine: Understood. Thank you.
Operator: And ladies and gentlemen, at this time, we have reached the end of the question-and-answer session. And now I would like to turn the floor back over to Jim Conroy for any closing remarks.
Jim Conroy : Sure. Thank you for joining us on our call today. We look forward to speaking with you on our next earnings call. Take care.
Operator: And thank you. This does conclude today's teleconference. We thank you for your participation. You may disconnect your lines at this time.